Operator: Thank you for standing by. This is the conference operator. Welcome to the Westport Fuel Systems Third Quarter 2019 Financial Results Conference Call. As a reminder, all participants are in a listen-only mode and conference is being recorded. After the presentation, there will be an opportunity to ask questions. [Operator Instructions] I will like turn the conference over to Shawn Severson at alphaDIRECT Advisors, Westport's Investor Relations representative. Please go ahead, Mr. Severson.
Shawn Severson: Thank you and good afternoon, everyone. Welcome to Westport Fuel Systems' third quarter conference call, which is being held to coincide with the press release containing Westport Fuel Systems financial results that was distributed this afternoon. On today's call, speaking on behalf of Westport Fuel Systems, is Chief Executive Officer, David Johnson; and Chief Financial Officer, Richard Orazietti. Attendance at this call is open to the public and to media, but questions will be restricted to the investment community. You are reminded that certain statements made in this conference call and our responses to various questions may constitute forward-looking statements within the meaning of the U.S. and applicable Canadian securities laws, and such forward-looking statements are made based on our current expectations and involve certain risks and uncertainties. Actual results may differ materially from these predicted in the forward-looking statements, so you are cautioned not to place any undue reliance on these statements. Information contained in this conference call is subject to and qualified in its entirety by information contained in the company's public filings. I'll now turn the call over to David. David?
David Johnson: So, thanks Shawn. Good afternoon everyone. Thanks again for joining the Westport Fuel Systems Q3 conference call. Before I discuss our business, let me take a moment to introduce and welcome Westport Fuel Systems' CFO, Richard Orazietti. Richard joined our team in September and he and I immediately hit the road to meet with investors in San Francisco, New York, and Boston. It was the perfect way to get started. Richard joins us at a pivotal time, pivotal for the company, pivotal for the industry, and now also pivotal for Richard. He has had a distinguished career with extensive experience in corporate finance, risk management, operational management, and strategic planning to name just a few. I know you all join me in welcoming Richard to Westport Fuel Systems. First to headline financial results, I'm pleased and proud of what we achieved in Q3. The continued growth of HPDI sales combined with our strength and independent aftermarket and like to the OEM businesses resulted in transportation revenue of $75.4 million, up 15% from a year ago. Q3 net income from continuing operations improved by $17 million to a gain of $4.9 million compared to a loss of $12.1 million from the same quarter last year. We recorded our third consecutive quarter of positive EBITDA and our sixth consecutive quarter of positive adjusted EBITDA. We created $3.5 million positive cash flow from operations before changes in working capital compared with the use of cash of $11.6 million in Q3 2018. These results are evidence of growing global demand for our clean transportation systems. Our customers are deploying our products and technologies to deliver clean, cost-effective, transportation in markets around the world. They're helping to save money and to save the environment all while keeping us moving. Let me turn now to the marketplace, I'll start by talking about scale. The scale of our market, the scale of the environmental challenge we face, how and why our products are scalable, and what that means for Westport Fuel Systems and our shareholders. Today, there are roughly 1.3 billion cars and trucks on our road today. Each year our industry produces themselves nearly 100 million new cars and trucks and a new car truck built today is likely to be used for the next 20 years. Commercial trucks power our economies and passenger vehicles enrich our lives, but in total they consume a massive amount of energy, 120 quads, that's 120 quadrillion BTUs annually according to the EIA. Most of that is in the form of gasoline or diesel. Transportation is the second largest producer of CO2. The number one producer of CO2 is electrical power generation. Demand for transportation will continue to grow and the clock is ticking with respect to our well-understood challenge of climate change. We need to take action without delay to reduce the carbon intensity of transportation. We need solutions now that move the needle. To move that needle we must produce and sell a lot of vehicles that are better for the environment. To produce and sell a lot of vehicles, we need practical solutions that fully meet customers' needs, including, quite importantly, affordability. We need affordable clean transportation urgently. Westport Fuel Systems products meet this challenge. Our products fueled by natural gas, reduce CO2 emissions by 20% versus liquid hydrocarbons, that's gasoline and diesel. And they do so today and every day. Moreover, we're seeing a rapid and increase use of renewables natural gas, where our products are offered, for example, about 70% of all the gases fuel burned in commercial vehicles in California is renewable gas, and more than 90% of all gases fuel used in vehicles of Sweden is renewable. Our products are developed, they're validated, they're in production for sale and in use today. There's no way waiting required. Ours are products, not prototypes, there's no need to wonder how far does it go? Can it meet my needs? When can I drive one? When can I buy one? How much will it costs? We know these answers for Westport Fuel Systems' products. And Westport Fuel Systems products are affordable. The payback on the incremental cost is less than a year in most passenger vehicle applications and two to three years in most commercial vehicle applications in many markets around the world. And applying our products to existing vehicles and to new engines and new vehicle production is easy and also affordable to achieve. No new manufacturing technology or plant is required. Existing vehicle engine manufacturing can be preserved and reused. No massive capital outlay is required to build new plants, Giga or otherwise. And our products meet the most stringent emission standards including those in Europe, China, India, and North America. And we know this because we are delivering our products to our customers every day and markets around the world. You can see them on the roads next to you. Let me now turn the important regulatory drivers of our business. More and increasingly stringent regulations in China, India, and Europe are driving the marketplace and are driving our business to increase scale. On prior calls I've spoken to Europe's heavy duty CO2 regulations and India's decision to move directly to Bharat Standard 6 emissions, which are roughly equivalent to Europe's Euro 6 Standard. While the market for LNG-fueled long haul trucks is growing today in Europe, the Chinese LNG truck market is already the largest in the world. The New China 6 Emissions Regulations, which align with Europe and North American Standards, take effect in July 2020. Sales of LNG-fueled heavy-duty trucks in China for the first half of 2019 were 85,000 units, up more than fourfold compared to the first half of 2018. China is a critical market press. We've been working together with Weichai to complete emissions testing and certification lead up to the official test with the Chinese EPA. While the timing of the completion of the required test is not within our control, it may push out the launch and the production and sales ramp that follow. We continue working every day to ensure we achieve a high quality launch in this important market. We're excited about the progress being made and the future of HPDI in China. Let me offer a few examples about what scale looks like. UPS recently announced that they will spend $450 million to add 6,000 vehicles powered by natural gas along with the supporting fuel stations beginning in 2020. It was the largest multi-year commitment UPS has made for alternative fuel vehicles and they include heavy-duty trucks, medium-duty package vans, and terminal tractors. Natural gas is not a test or an experimental phase at UPS, but rather is mainstream in their fleet. The low total cost of ownership of natural gas vehicles enables scale. The build out of refueling infrastructure is another indicator of scale. In order to meet CO2 emissions reduction targets, sales of cleaner more efficient vehicles must ramp up dramatically as much refueling infrastructure. In the case of natural gas, this is well underway in markets around the world. For example, at the start of 2019, there were 170 LNG stations in Europe. Now, there are 231 stations including the first LNG station in Belgium. That's a 35% increase just this year. There are now LNG stations in 18 countries across Europe. New stations are coming online quickly, with 500 LNG stations projected by 2022 and 2,000 stations by 2030. Let's contrast that growth with the reality that there's not yet one single public electrical charging point or public hydrogen filling station in Europe for long haul trucks. This scaling of infrastructure is not limited to Europe. There are currently about 6,500 LNG stations in China and their stated goals increase that number to more than 10,000 within next year. In India, Total and Adani Gas recently announced their plan to build 1,500 LNG stations over the next 10 years. Increasing production rates for individual consumers and fleets in all geographic markets is another driver of scale. Just a few examples to illustrate this. The global market for LPG and CNG conversion kits is approximately 1 million kits per year and our independent aftermarket business has a 30% share of that market. Argentina, Italy, Poland, Russia, and Turkey are well established and critical markets for our business. The global market for delayed OEM installations is about 35,000 units per year and Westport Fuel Systems has more than 90% share of that market. Our [Indiscernible] division has expanded its LPG and CNG delivery program to more than 100 new models for latest direct injection engines. Kia recently announced the availability of their LPG-fueled Sportage for the Italian market. The global market for OEM production of LPG, CNG-fueled light-duty vehicles is approximately 0.5 million units per year, and again Westport Fuel Systems has about a 30% share. Leading manufacturers in India have publicly stated they expect a sales mix of natural gas potentially greater than 30% in the very near future. Before I hand over to Richard, let me make one more point and to do so I'll draw an analysis that our own Mark done presented last week in Michigan at the Innovations and Mobility Conference hosted by SAE International. The path to sustainable transportation must be led by cost competitive market-ready technologies that move the needle in both performance and scale. Westport Fuel Systems HPDI, for example, enables a 20% reduction of CO2 versus diesel engines at a low total cost of ownership and will help OEMs respond to increasingly demanding regulations. But this is just the starting place as HPDI like many of our product offerings enables further greenhouse gas reductions when renewable natural gas is blended with or replaces fossil natural gas. This means that Westport Fuel Systems' products allow OEMs to respond to the current and future regulations and market needs while preserving their considerable capital investments in the engines and trucks they make and sell today, all while delivering fully capable vehicles to their customers. Westport Fuel Systems' products in combination with renewable natural gas are a real path to deep de-carbonization and transportation. The potential to get this net zero carbon for trucking in Europe and globally using HPDI is available to us now. And this can be done with the competitive total cost of ownership as compared to the so with no sacrifice in performance, reliability, or durability. This market data validates what we hear from our customers around the world, trends that we also see in our financial results, our order book, and our development activities for our customers. The strength of our OEM and aftermarket business in key markets and the growth of HPDI in Europe and upcoming launch of HPDI in China ensure that we are well-positioned to capitalize on the opportunities. Finally, let me remind you of our 2019 strategic priorities, deliver sustained growth, accelerate our HPDI commercialization, and align our cost structure with our revenues to improve cash flow and operating results. We're pleased with how the first three quarters of 2019 have delivered on this promise and we're looking forward to the rest of the year and beyond. With that said, I'll turn it over Richard to review Q3 2019 financials.
Richard Orazietti: Thank you, David. This is my first quarterly financial results call since starting with Westport Fuel Systems in early September. I'm excited to be joining Westport Fuel Systems at this point in time in the alternative fuels industry and also having the opportunity to drive the company's business transformation into a growing sustainable company. I've been impressed by the talented and passionate professionals at Westport Fuel Systems and the embodiment of the vision creating a better world through innovative energy solutions. I've also had the chance to speak with many of our shareholders and analysts that cover the company and I look forward to meeting with more of you in the near future. Turning to the financials, we had a strong third quarter on many fronts. From the continued strengthening of our operating performance in our three lines of business that David highlighted to you before. We posted our first quarter of net income from continuing operations of $4.9 million, our third consecutive quarter of positive EBITDA of $11.7 million and six quarters of positive adjusted EBITDA. To review our third quarter results in more detail, I'll begin on slide two. We closed the quarter with sales of $75.4 million, net income from continuing operations of $4.9 million, and positive adjusted EBITDA of $9.4 million. Our third quarter adjusted EBITDA was an improvement over our second quarter 2019 and our third quarter 2018. The improvement over the prior period is a result of strong sales during the quarter and reduced operating costs. Turning to slide three, we look at our transportation business segment. Transportation revenue was up 15% compared to the same quarter in 2018, primarily due to the strength in HPDI and delayed OEM sales. The aftermarket business revenues were consistent with the prior year, quarter and euro terms, but the client 4% in U.S. dollar terms. Third quarter 2019 OEM revenues increased by 11.8 million or 64% over the prior year quarter. HPDI product sales and development revenues were the primary driver for this increase. Gross margins were in line with expectations with prior quarters. We do expect lower margins in Q4 and 2020 due to launch costs and volume-related price discounts that are partially offset by material cost reductions. As a result of the increased sales and reduced R&D spend, adjusted EBITDA in our transportation segment improved significantly over both quarter and versus Q3 2018. Turning to slide four, we'll review the results of our CWI joint venture. CWI recorded revenue of $83 million in the third quarter 2019, a 1% decrease over the second quarter 2019 and a 4% decrease over a third quarter 2018. The current quarter was impacted by a $3.8 million negative warranty adjustment as compared to $8.6 million positive warranty adjustment in the prior year quarter. Lower sales and a negative warranty adjustment led to lower net income for CWI as compared to the prior year quarter. In the third quarter 2019, CWI recorded net income of $10.7 million or 13% of sales and during the quarter, Westport Fuel Systems received cash dividends of $4.4 million. Turning to our sales and general administrative costs, SG&A cost decreased over the prior year. Mainly due to the completion of the SEC investigation, which impacted our Q3 2018 results by $3.5 million of legal fees and advisory compared to nil and the current quarter, lower stock-based compensation expense, lower salary expense, and lower discretionary costs also resulted in lower SG&A for the quarter. The management team has worked hard to reduce costs at the corporate center to decentralize decision-making to our business units that are closer to our customers, while ensuring we have the appropriate governance and leadership at corporate to drive the strategic direction of the company. During the quarter, we also negotiate a settlement about payable to a government-related technology funding agency worth $0.6 million, which resulted in a $3.3 million gain during the quarter. The gain on settlement was recorded an interest in other income and excluded from our adjusted EBITDA calculation. Turning to slide five which provides a cash walk of the cash balances at the end of the second quarter to the third quarter. We received dividends from CWI of $4.4 million. There was positive cash flow before working capital changes of $3.5 million offset by cash used in working capital of $6.7 million. We paid principal interest payments for debt and royalties of $6.6 million, we have capital expenditures of $1.8 million, and we had a $1 million impact of the lower euro. We continue to service and pay down our debts on schedule, which we will continue to do from our operating cash flows and financing facilities to optimize our borrowing costs. While we do not have any specific plans to raise capital at the moment, we will continue to evaluate our liquidity and financing needs to support the growth of the company and strengthen its financial position. As I reflect on Westport's progress in creating a growing and sustainable company. I am impressed with the improvement in operations across our lines of business since the merger with Fuel System Solutions. As you can see on slide six, we went from a negative $46 million in adjusted EBITDA in 2016, working towards a positive $25 million through the first nine months of 2019. This is a remarkable turnaround and a recognition of the tough decisions made by the Board and management and hard work of Westport employees over this period. Now turning to guidance. Based on our strong year today results, we're revising our annual revenue guidance to $295 million to $305 million for 2019, up from $285 million to $305 million. We look forward to attending the Craig-Hallum Investor Conference in New York City next week. With that, I'd like to turn it back to the operator for your questions.
Operator: Thank you. We'll now begin the question-and-answer session. [Operator Instructions] Our first question is from Colin Rusch with Oppenheimer. Please go ahead.
Unidentified Analyst: Good afternoon, everyone. This is Kristen [ph] on for Colin. I was just wondering if we could start with the OEM and the DOEM business. And can you provide some additional color on the strength that you mentioned in those businesses and maybe break out the two and where you're seeing that sequential growth in that light-duty business?
David Johnson: Yes, nice to hear your voice, Kristen. Glad to come back and discussion of OEM and DOEM. We don't have a civic breakout for you, but I can give you a little color. Basically our DOEM this is I would say is the stronger growth story within that, and really that reflects the flexibility that we have with respective DOEM. We can take a product from a manufacturer and create a DOEM kit and get the DOEM business started very, very quickly, so in a matter of six to nine months, if you will. And so on that basis, we can be very responsive to what's happening in the marketplace. And so that's really driving our business. I did mention and you might recall from the last quarterly call how we had a real strong showing with respect to tank valve production and deliveries in Q2 and that I indicated that was a very good sign for what was coming with vehicles in the market in the future. And I noted that the just today, there was a release of registrations in Italy that showed books had extremely good performance in the Italian market with respect to natural gas vehicles. More than half of their golf models were sold with natural gas fuel systems, including our components. And so that gives you an idea of the strengths and the potential of not only the DOEM but the OEM market when the products are available and in markets where the fuel is available. And so we really see tremendous growth potential on a go-forward basis for those products.
Unidentified Analyst: That's great. Thank you. And then the next question that I wanted to ask is, is just on the R&D side, are you seeing any particular areas of investment where you feel like you need to be making that commitment right now?
David Johnson: As a general principle, we're very happy that we have a complete set of products in the marketplace that respond to the demands for clean transportation products, meeting emissions requirements, meeting customer demands, and so forth. Nonetheless, the market doesn't stand still and we continue to invest in developing next generation products. We feel that, that pull from our customers with light-duty side and heavy-duty side, and we're responding to it. But I would tell you as a general principle, we don't see the need for massive investments to hit some new standards and something like that. And so it's more a keeping our products competitive in the marketplace and being ready for that next round of emission standards and things.
Unidentified Analyst: Great. And if I can sneak in just one more. Can you provide an update on the discussions with CWI and the sunset of that JV for the end of next year?
David Johnson: Yes, I'd love to do that and I look forward to doing so. At this juncture, I don't have any news or update to share with you. Our situation is as it was in Q2 in terms of we have a contract, we're proceeding to do business, and we're having discussions around what comes next and in that phase. At this juncture, unfortunately, I have nothing I can share.
Unidentified Analyst: Great. I appreciate the questions. We'll take the rest -- get back in the queue.
Operator: The next question is from Eric Stine with Craig-Hallum. Please go ahead.
Eric Stine: Hi David. Hi, Richard.
David Johnson: Hey, Eric. How are you?
Eric Stine: Great. You?
David Johnson: Excellent. Thanks.
Eric Stine: Good. On the on the OEM, I appreciate the details there, the nearly $12 million increase year-over-year. I'm just wondering your commentary about HPDI being the primary driver? I mean any way to dial that in a little further, are you saying that it was greater than 50%? Or maybe some type of percentage would be great. And then also I'm just curious, obviously, you're seeing good traction, steady traction there with Volvo. Is that something that where you saw sequential improvement in volumes?
David Johnson: Yes, thanks for the question. And let me just provide what I can in that regard. And basically, as you know our businesses with our European lead customer and we had a small start with our Chinese customer. And so the vast majority of our revenues in the HPDI business today are still driven by one customer and so we're not breaking it down. I apologize for that. But yes, in terms of sequential growth, we continue to see that. So, we continue to work with our customer and we have plans for product enhancements and all sorts of good things in the future, but it's driven by the demand in the marketplace. And we do see those volumes continue to move forward.
Eric Stine: Okay. It was worth the try. Yeah, absolutely. Maybe just turn into the pipeline, I know -- and I can appreciate you can't necessarily talk about specifics -- specific OEMs teams and programs. But though in the last quarter, you did add a development agreement to that pipeline. And so with that in mind, I mean, as the CO2 standards come on, as we go through this year where they're setting the baseline. I mean how do you anticipate that pipeline? The speed in that pipeline, how fast those programs move forward or decisions are made whether to move forward or not?
David Johnson: Yes, a couple a couple comments on that. It's our normal business to do development programs at OEMs around the world for both light-duty and heavy-duty products. And what I can tell you about that is the decisions aren't so predictable and the programs are very lumpy. And so what I mean by that is one day we're not working with a given OEM and the next day we are and then it's a fair bit of work. So, it's a challenge for us to manage. And in this timeframe, right, as we look out into the beginning of the 2020 to 2030 timeframe, and the regulations that are coming on, both in light-duty and medium-duty and the need to reduce Co2, and then the affordability and availability of our products. My expectation is that those development revenues will grow. It will be -- more exciting future than they are today. And I look forward to making the announcements about such things, but today, I don't have one further for you.
Eric Stine: Yes, got it. Maybe last one for me just turning to aftermarket. It looks like that was down a little bit versus the prior year. Just curious I know a lot of moving parts here in what 90 different countries, but just maybe some of the main markets and the puts and takes to that?
David Johnson: Yes, we saw really good -- so as you mentioned, we have a number of key markets where we're very strong, its important part of our business. We mentioned some of those earlier in the call, Italy, for example, is a really important market for us and hence we have our operations there and and a long presence there. And the growth is good. The pull on the product is strong there; meanwhile, in places like Poland, we also see growth in Russia too. So, those markets are really important to us and even in Argentina, despite all the turmoil there, we see good results. So, I know there's a desire for further breakout of results from country-to-country. But we have we have that in our future perhaps and look forward to doing that.
Eric Stine: Okay, thanks a lot.
David Johnson: Our pleasure.
Operator: The next question is from Rob Brown with Lake Street Capital Markets. Please go ahead.
Rob Brown: Good afternoon.
David Johnson: Good afternoon Rob.
Rob Brown: On the European market, given the new regulations earlier this year, how have you seen the truck makers responding? I guess the ones that that aren't your direct partners, but are they in the -- how would you characterize where they're at? Are they in the decision-making stage yet? Or are they really in the evaluation stage and maybe some color on how the market's been changing over this year?
David Johnson: Sure. In general what we see is our lead customers, I would say in a very strong position, they know they are with respect to leading the marketplace and having our HPDI system available for their customers today. And the other OEMs in the marketplace that we work with all the time, I can't be specific, of course, but they're all weighing their options and considering what their portfolio will consider in the future and making their decisions. And so on our work with each one of them, unfortunately, for the most part is going to remain a supplier secret until such time as our customers decide they're going to make an announcement, we will be making those announcements. But I do see as a general premise that right now because of that regulation and increasingly at the clock ticks away, the intensity of the discussions and the work we're doing is growing and so that's exciting for us.
Rob Brown: Okay, good. Thank you. And then the Weichai program, did you say that was it was entering final kind of testing and just wanted to clarify what you said about the timeline there? Do you have a sense on when that happens and how it might affect the launch time?
David Johnson: Yes, glad to talk about Weichai. Our work with Weichai continues very strongly and where we are in that project is basically in the final stages to get certification completed and certified, if you will, by the agency in China, China DPA. And I expect that soon, but frankly, it's not a timing we control and that's our challenge. As the team there's all the work we do and we have to overcome all our challenges and deliver the product and we've done that. Now, it's the certification step, which unfortunately isn't so controllable. And so we do see some risks that we want to achieve exactly the curve and a time that we were hoping for and planning on. But it's not out of our grasp yet, so we're still working on it.
Rob Brown: Okay. Thank you. I'll turn it over.
David Johnson: Thanks, Rob.
Operator: [Operator Instructions] The next question is from Chris Souther with Cowen and Company. Please go ahead.
Christopher Souther: Hey, thanks for taking my question. For Weichai, you discussed the certification process being out of your hands, I just want to see is there anything that is in your hands at this point with that launch or anything that's left for you guys to do specifically?
David Johnson: Yes, that's a great question. I would say basically other than continuing to support our customer and work with them as they face any challenges, there's no specific things. So, in our business, we take our components, design them, and validate them, and then de-path [ph] them and deliver to them to the customer and we're in that condition where all our commodities are available for our customer and we're just waiting for the final steps that they have to do and certification and sales, production, all those following steps.
Christopher Souther: Got it. And then a few people have other kind of tried to touch on this, but with the initial launch partner, can you talk about any regional commentary in the past you've kind of mentioned specific markets where there were kind of initial launches. Anything you can kind of give up to that factor? It's not just you discussed the kind of the ramp-up in stations, is it fairly similar kind of markets we should be looking at to kind of follow where you might be seen strength there?
David Johnson: Yes, the infrastructure build out I would tell you is probably one of the most important indicators of where you'll see truck sales growth next. And there's really good data on the web about where they are today, where they're going to be in the future. And so I think that is more than anything else kind of a key ingredient on where the regional growth is and where the trucks are going to have the greater market share sooner. It's really hard to summarize in a call and go through all that data, so I won't even try. But as a general principle, I also struggle with the -- they're not our sales and vehicles and so we don't have the detailed data ourselves. So, what we're going off with that as we see it is announcements of infrastructure, announcements of fleets that they looked at we're so proud, we bought these trucks and they're working great for us.
Christopher Souther: Excellent. And then just my last one, is that $3.2 million service revenue that you call out from development work with an OEM, is that relate to HPDI and go through the OEM kind of a segment that you discuss or is that something different?
David Johnson: Yes, that's one of our heavy-duty programs. And yes, so -- that's it.
Christopher Souther: Okay. So that's included in -- when you say the majority of that OEM increase is related HPDI, it's in there?
David Johnson: Exactly.
Christopher Souther: Perfect. I'll hop in the queue. Thanks, guys.
David Johnson: Thank you.
Operator: This concludes the time allocated for questions. I'll now turn the conference back over to Shawn Severson for closing remarks.
Shawn Severson: Great. Thank you everyone for joining us today and thanks again for your interest in Westport Fuel Systems.
Operator: Ladies and gentlemen, this concludes today's conference call. Thank you for participating and have a pleasant day.